Operator: Good afternoon, everyone, and welcome to AgEagle Aerial Systems 2023 Second Quarter Results Webcast. Presenting on today's webcast are AgEagle's Chairman and CEO, Barrett Mooney; and Nicole Fernandez-McGovern, the company's Chief Financial Officer and Executive Vice President of Operations. Before I turn the floor over to them, I remind you that during today's call, statements that are not historical facts, including any projections, statements regarding future events or future financial performance or statements of intent or belief, are forward-looking statements and are covered by the safe harbor disclaimers contained in the company's public filings with the SEC. Actual outcomes and results may differ materially from what is expressed in or implied by these forward-looking statements. At this time, I'd now like to introduce the company's Chairman and CEO, Barrett Mooney. Barrett?
Barrett Mooney: Thank you, Morgan, and good afternoon, everyone. It's a great pleasure to be hosting today's webcast and we thank you for joining us and for your support of AgEagle. Today, I'll be focusing my comments on two primary themes: the first is our progress on the integration of our business and operating units and the impact it's having on cost reduction and a relentless march towards positive cash flow; and second, our focus on product innovation and industry leadership and the role we expect these to play in our future financial performance. Let's start by having Nicole take us through the Q2 results in detail, and then I'll continue with my remarks after that. Nicole, why don't you get us started?
Nicole Fernandez-McGovern: Thank you, Barrett, and good afternoon to all who have joined us for this live webcast. Yesterday afternoon, after the market close, we filed our 2023 second quarter report on Form 10-Q with the SEC. If you have not had a chance to review it, you may access it on the sec.gov or via AgEagle's Investor Relations section website -- on our website under SEC Filings. I encourage everyone to read our 10-Q and other filings with the SEC to ensure you have a fuller understanding of our business, financial results and other important information disclosed. I'll begin by first reviewing the highlights reflected in our income statement. Revenues for the first three months ended June 30, 2023, totaled $3.28 million, which compared to $5.29 million reported for the same three months in 2022. The 38% decrease in total revenues was largely attributable to lower sales of our eBee line of drones during the quarter, which contributed $1.27 million in revenues to total revenues compared to $3.04 million for the second quarter of 2022. Overall, the decrease in eBee sales were expected ahead of the launch of our new eBee VISION. Many customers have indicated that they are delaying their drone procurements as our next-generation eBee VISION unmanned aerial system releases in September. The eBee VISION, which is winning rave reviews by early adopters across the globe is currently in the final stages of commercial production and expect it to be rolled out next month. Drone sales were also impacted in Q2 of this year due to a strategic price reduction we implemented for our legacy eBee drone products to move -- to more effectively compete with imported drone products. We believe that this price reduction will attract additional customers to the brand and help fuel the value proposition offered by our value-added resellers, Walmart, which we believe will start to gain traction over the next two quarters as it aligns with our marketing efforts. Sales of our multispectral sensors, mainly the Altum-PT, RedEdge-P and newly released RedEdge-P dual cameras were also slightly down, decreasing 10% to $1.88 million from the $2.09 million for the three months ended June 30, 2023 and 2022, respectively. This small reduction was fueled by constraints on our fulfillment of orders due to supply chain constraints that affected our sales pipeline. Subscriptions of our software solution ground -- Measured Ground Control and HempOverview were also soft declining to approximately $126,000 from $158,000 on a comparable quarter-over-quarter basis. For the six months ended June 30, 2023, total revenues decreased 20% to $7.34 million, which compared to $9.13 million for the first half of 2022. For the reasons I have already mentioned, sales of our eBee drones declined to $3.23 million for the six months ended June 30, 2023, which compared to $5.78 million for the same six months reporting period in 2022. And software sales also declined to approximately $246,000 compared to roughly $328,000 for the first half of 2022. Offsetting the decrease in drone and software sales during the six months ended June 30, 2023 was growth in our sensor business, which saw revenues climb 27% to $3.8 million compared to $3.02 million for the six months ended June 30, 2022. Moving down the income statement. Due to ongoing integration and consolidation of our sales team and manufacturing operations, we succeeded in reducing our operating expenses 26% to $5.9 million from $7.9 million or $4 million on a comparable quarter-over-quarter basis, a huge achievement for AgEagle. Likewise, operating expenses for the six months reporting period ended June 30, 2023, also decreased, falling 28% to $12.04 million as compared to $16.7 million reported for the six months ended June 30, 2022. More specifically, our integration efforts have resulted in notable decreases in spend for general administrative costs, introducing lower legal and consulting fees, a decline in expenses associated with the consolidation of our offices and workforce, reductions in payroll-related costs due to integration of roles, less ERP consulting integration costs, a reduction in R&D consulting fees and lower stock compensation costs. Our income statement also reflects other expense not related to accounting for our promissory notes original issue discount of 4% and interest at 8% per annum issued to an investor in December 2022, along with net foreign currency transaction losses incurred by our drone hardware business. Collectively, this amounted to $419,000 and $867,000 for the three and month -- three and six months ended June 30, 2023, respectively, which compared to other expense net of approximately $213,000 and $328,000 for the first half of 2022, respectively. As a result of everything I've covered, we incurred a net loss of $5.29 million or $0.05 loss per share for the three months June 30 of this year compared to a net loss of $5.6 million or $0.07 per loss per share for the comparable three month period in the prior year. This represented a 6% improvement on a comparable quarter-over-quarter basis. We are also very proud of the fact that we achieved a significant improvement in our net loss for the six months of 2023. For the six months ended June 30, 2023, our net loss totaled $9.89 million or $0.11 loss per share, which was reduced 25% from a net loss of $13.20 million or $0.17 loss per share reported for the first half of 2022. Now turning your attention to our balance sheet. As of June 30, 2023, our cash position was $4.2 million, which compared to $4.35 million as of December 31, 2022. Cash used in our operations during the first six months of 2023 totaled $6.78 million, a decrease of $4.8 million or 42% as compared to cash used of $11.63 million for the six months ended June 30, 2022 (ph). As of June 30, 2023, we had working capital of $7.54 million and total stockholders' equity of $41.18 million. This compared to working capital of $9.08 million and total stockholders' equity of $43.22 million as of December 31, 2022. This now concludes my overview of the financial highlights, and I will turn the call back over to Barrett. Barrett?
Barrett Mooney: Thank you, Nicole. While the second quarter results reflect that AgEagle continues to work to overcome supply chain issues, global inflationary and competitive pressures and other business challenges, our efforts to effectively optimize our operations through integration and consolidation of our offices and workforce are indeed yielding tangible results. As Nicole just outlined, we're finding our balance on the top line but focusing very heavily on reducing our spend. We've lowered the net loss, we are burning less cash and now set up our pricing, marketing and innovation strategies to grow revenue. In addition to the reduction in overall operating spend, we've shaken up our organization, aligning and consolidating our sales teams, centralizing our branding and marketing efforts and integrating our manufacturing operations, benefits that should become more transparent in the form of stronger revenue performance in the coming quarters. Effective execution starts with leadership, ensuring we have the right people in place to drive our organization forward. We've made some significant sales leadership changes over the past several months and have reorganized our global sales team to provide direct oversight of drone, sensor and software sales by industry and global regions of responsibility. We've also strategically expanded our team to provide for an in-house government sales executive to manage our direct sales opportunities with U.S. government and military agencies. As Nicole mentioned, we've also been refining our pricing strategies to ensure that our drone, sensor and software solution are priced competitively and will help to protect the global market share that AgEagle works hard to win. When coupled with the innovative new products and product enhancements that we are bringing to market, I believe we remain on a path that will lead us to enhancing shareholder, customer and employee value as we move into our next exciting chapter. However, the next chapter at AgEagle is about continually innovating and introducing leading-edge products and technologies focused on enabling our customers. This is at the core of AgEagle's research and development efforts. We use the input collected from our commercial and government clients to uncover opportunities to meet underserved demands and then leverage our engineering expertise to create and commercialize products that can deliver outcomes. For instance, as I mentioned in our last webcast, we are pleased to unveil Field Check for our Measured Ground Control mobile app early in the second quarter, a solution designed specifically to change the way our customers work and materially sets AgEagle software apart from other offerings in the market. Representing a key competitive differentiator for AgEagle, Field Check's unique feature set enables users to review and validate the quality of their drone-captured imagery on-site. Capturing target imagery right the first time in one trip to a project site allows users to eliminate time loss and costs associated with project reworks by ensuring data capture is complete and ready for processing into high-resolution outputs before ever leaving a site. This is a true game changer in our industry and one that we expect will have a material impact on greater adoption of ground control on a moving-forward basis as we build awareness of its unique capabilities. We also expanded our line of industry leading multispectral sensors in May of this year with the commercial release of our RedEdge-P Blue and dual high-resolution drone sensors. Featuring 10 multispectral bands, the RedEdge-P dual was purpose-built for mirroring Landsat 8 and Sentinel-2 satellite bands in just one drone flight and at a higher resolution at 0.8 inches per pixel at 200 feet, enabling direct comparison between drone and satellite imagery. The RedEdge-P dual setup doubles our analytical capabilities with the benefit of a single camera workflow. It's coastal blue band, the first of its kind in the market is an ideal solution for vegetation analysis of water bodies, environmental monitoring, water management, habitat monitoring, protection and restoration and vegetation species and weed identification, including differentiating and counting plants, trees and invasive species and weeds. We're very excited about the early reaction we are getting from the market on the RedEdge-P dual, which is expected to provide meaningful sales growth for our industry-leading line of sensors. When developing our latest fixed wing innovation, the eBee VISION, our next-generation eBee design for intelligence, surveillance and reconnaissance missions, we spent months meeting with drone operators spanning several market sectors to fully understand their respective goals and objectives. This fact-finding mission resulted in our team inventing a number of groundbreaking advancements and engineering methodologies that have been integrated with the eBee VISION. Some of those include a smart battery gauge, which we've branded as Gaudos. Gaudos combined an ultra-precise front-end sensor with a model to fully simulate the behavior of our drone battery, all in a low-power microcontroller. Each of the battery cells is modeled to flow in real time to the battery state of charge, its state of health, its voltage and its reaction to constraints, allowing our customers to make the most of our energy source while in flight. A smart sensor-enabled motor controller, which optimizes torque ripple and flight, ensuring better efficiency and acquire more responsive motor; a mission must for stealth surveillance operations; a smart dual-band L1 and L2 GNSS antenna that we branded Elixia for use in transmitting eBee VISION high-resolution video streams in real time. Further, its compact design and light weight allow it to be integrated into the fuselage of the drone, ensuring optimization of aerodynamic performance. And also, we designed and engineered Jarvis, a smart decision-making tool set AgEagle developed, which enabled us to expedite the design and development of the eBee VISION. Through the application of Jarvis multi-fidelity analysis tool, we were able to properly discern optimal design metrics as well as analyze flight duration, best flight speed, rate of climb and maneuverability all in real time, helping us to advance through our prototyping process in a highly efficient, cost-effective manner. In support of our sales and preorder efforts, AgEagle team has been engaged in numerous live demonstrations and intensive training sessions with officials from government and military agencies across the world, seeking to leverage the power of the eBee VISION and their respective drone operations. In July alone, we competed -- we completed a comprehensive training session with our first European military customers who were confirmed as eBee VISION operators and qualified trainers of new users. These new customers confirm with AgEagle's technical teams that all operational capabilities of the eBee VISION continue to meet and exceed performance benchmarks in scouting, surveillance, usability, fast deployment and flight time among other use case criteria specified by international military community. Our training sessions have led to very positive indications for procurement and several units being preordered. Interest in the demand for the eBee VISION is indeed accelerating as we take advantage of showcasing this new innovation to our reselling partners and new and existing customers worldwide. We expect that like our other new product introductions, the eBee VISION will be a significant growth driver for AgEagle in coming quarters. Before we move to the Q&A session on today's webcast, I'll add that in the face of a challenging equity market environment, you can still expect AgEagle to continue investing in innovation to further differentiate our customer-centric drones, sensors and software. We remain optimistic about the long-term growth prospects for our business, and we're confident in our ability to deliver consistent and predictable financial performance in the future. With that said, Nicole, let's address some of the questions that our shareholders kindly sent us in advance of today's webcast.
A - Nicole Fernandez-McGovern: Great. Okay, Barrett. First question relates to our cash position. A shareholder has asked, if we plan on raising additional capital to increase our cash available to fund operations through the end of this year.
Barrett Mooney: Good question. While we've historically been successful in raising capital to meet our working capital needs, the ability to raise equity capital and prevailing capital markets environment is not guaranteed. Nonetheless, through our commitment to grow revenues and work towards achieving positive cash flow, we are currently evaluating a number of strategies to obtain additional capital to fund our future operations until we begin cash flowing. We were very pleased to raise critical growth capital at fair and reasonable terms this past June through a registered direct offering and concurrent private placement. How and when we raise additional capital will really depend on the number of dynamic variables and considerations, and that will be factored into our growth and innovation strategies in the coming quarter.
Nicole Fernandez-McGovern: Okay. Next question from our shareholder, where are our big purchase orders?
Barrett Mooney: As we made it very clear, AgEagle is committing the time, energy and resources on developing a sales strategy that provides for direct sales to customers and sales to customers through our global network of over 200 resellers. I can share that we are working in close collaboration with several of our reselling partners on winning potential large government NGO tenders with organizations around the world. On the direct sales front, in April, we won a federal contract from the DoD's Defense Innovation Unit to produce and deliver the eBee VISION's drones and customized command and control software that is compatible and is in full compliance with the DoD's robotic and autonomous system air interoperability profile. It yields significant new revenue to our company, which adds to our positioning of AgEagle as a trusted partner to the U.S. government. We expect that this in turn will lead to additional and larger opportunities within the defense sector. Moreover, now that we've been awarded a Multiple Award Schedule Contract by the GSA, we are working on enhancing our offerings to federal, state and local government markets and an initiative that we fully expect will produce new sales and potentially significant new sales for our company over time. It is important to note that at AgEagle, we approach large tenders in partnership with our local resellers, and we'll continue this approach as a long-term growth strategy. However, our bread and butter will likely continue to be sales of our drone, sensors and software to the growing number of commercial enterprises, which are coming to recognize the value of building and expanding their drone programs to better up their businesses and inform their business decisions through the data and insight that drones capture and deliver. We stand ready to serve these customers and benefit from their drone program expansion efforts.
Nicole Fernandez-McGovern: Our final question comes from a shareholder who would like to know an example of how our drones are being utilized to solve problems.
Barrett Mooney: Well, boy, that's a big question. We have thousands of use cases from around the world in various industries, and we've continued to demonstrate the value that AgEagle's drone solutions provide to our customers. I would say that many of these case studies are available. So for those shareholders that are interested, they're available for viewing on our website. So please, I'll direct you there to download a few of those case studies. But here's one example that does come to mind, and it relates to the recent flooding that ravaged the state of Vermont just last month. The drone team at the University of Vermont's spatial analysis laboratory was tasked with documenting the initial catastrophic flooding that occurred following relentless downpours that began in early July and persisted for weeks and then documenting the aftermath that remained for farms in the region. In an e-mail sent to us from a University of Vermont official, they had said that the long and short of it was that the eBee played a key role in the flood response. It was the only system, including satellites, crude aircraft and UAS, that was able to collect the geospatial inventory of peak flooding conditions that FEMA needed to assess the damage to support the disaster declaration. And that was huge for their recovery efforts. So with those kind of efforts that are ongoing, we know that there are use cases out there where our drones are playing a role. And our job is to make sure that as we educate our customers, as we educate the market, we continue to deliver a really strong position for the business and for our sales initiatives as a whole. So with that, I think that concludes -- as Nicole, you said our final question, so that concludes our Q&A session. Before we end the webcast, I just wanted to reiterate our vision for the future. First, we are growth-minded, with a strong foundation as a known drone solutions company and more than a decade of proven experience. AgEagle is uniquely positioned to offer best-in-class solutions to legacy and emerging industries through product innovation, R&D and strategic partnerships. Our reputation as an American drone technology company sets us apart and positions us to become a dominant force in the market. Second, we believe our deep bench of drone expertise on the team puts us in the pole position to benefit from regulatory changes that will allow our customers to fly drones autonomously in more places than ever. Those autonomous drones will collect high-quality data and applications as varied as pipeline inspections, as design construction surveys, leaf-level (ph) crop health, tactical mapping and surveillance for war fighter. Finally, we believe our employees are passionate, experienced group of professionals who are building the solutions that will pave the way to an autonomous future of robotics. We trust that together we will build a diverse, collaborative, resilient and innovating culture intent on winning in this marketplace. So with that, I'd like to thank all of you for joining our webcast today, and I'd like to thank all our shareholders for their continued support. We look forward to continuing to share our progress. Morgan, back to you.
Operator: Thank you, Barrett. This concludes AgEagle Aerial Systems 2023 second quarter results webcast. Thank you for attending, and have a wonderful rest of your day